Christophe Barnini - Senior Vice President of Group Communications & Investor Relations:
Sophie Zurquiyah-Rousset - CEO and Director:
Jerome Serve - Group Chief Financial Officer:
Christophe Barnini: Thank you. Good afternoon and good morning, ladies and gentlemen. Welcome to this presentation of CGG's Second Quarter 2023 Results. The call today is hosted from Paris where Mrs. Sophie Zurquiyah, Chief Executive Officer; and Mr. Jerome Serve, Group CFO, will provide an overview of the quarter results as well as provide comments on our outlook. Let me remind you that some of the information contains forward-looking statements that may change at any time. And following the overview of the quarter, we will be pleased to take your questions. And now I'll turn the call over to Sophie.
Sophie Zurquiyah-Rousset: Thank you, Christophe. Good morning, and good afternoon, ladies and gentlemen, and thank you for participating in this Q2 2023 conference call. Starting with the Slide 5. Let me start with some general comments on the evolution of our businesses and market environment during the quarter. Overall, commercial activity was solid across our -- all our businesses and geographic location this quarter, with a strong rebound of our SMO, Sensing and Monitoring business, driven by increased land and OBN seismic projects, especially from the national oil companies. Fundamentals for exploration and development remains strong with exploration continuing to gradually increase. The priority of our clients is to bring short-cycle oil and gas to market, while increasingly looking for new potential lower cost and lower carbon reserves, especially offshore. This trend translates into continued focus on mature producing basins and is driving demand for high-end imaging and increased OBN data acquisition surveys, a backdrop that is favorable to CGG. We are particularly well positioned to support our clients with our 3 differentiated core businesses. Q2 commercial activity was high. Our Geoscience business was awarded very large multiyear contracts, while Sensing and Monitoring had record quarterly order intake. At the end of June, our group backlog stands at $510 million, up 54% year-over-year, the highest backlog since 2020. Looking at our Q2 financial performance, we had a good quarter despite volatility in our Earth Data business with around $20 million of late sales slipping from end of June to early July. Geoscience revenue at $80 million was up 14% year-on-year, driven by increased activity worldwide and our technology differentiation. Earth Data sales at $62 million were down 5% year-on-year when adjusted for transfer fees and U.S. land library sales. Sensing and Monitoring was very high at $146 million, significantly up 222% year-on-year, mainly driven by OBN equipment deliveries. Overall, our Q2 revenue reached $289 million, up 20% year-on-year. Segment EBITDA was $104 million, a 36% margin related to business mix. Q2 net cash flow was a negative $79 million, including $45 million negative change in working capital, mainly related to SMO. Moving on to Slide 7. DDE segment revenue was $142 million in Q2, flat compared to Q1 and down 27% year-on-year, with double-digit growth in Geoscience and lower Earth Data sales compared to the exceptionally high second quarter in 2022. Profitability was impacted by a low level of after-sales this quarter. Now going into the business lines with Slide 8 in Geoscience. Geoscience external revenue was $80 million in Q2, up 14% with growth coming from all regions. The Geoscience business is back to pre-COVID 2019 levels, thanks to strong demand, but also because of our technology differentiation and increasing market share. The market is active with a high level of bid submissions worldwide and more high-end data being acquired, such as with ocean bottom nodes to image producing reservoirs. Backlog is up 19% year-on-year. The total production per head KPI continues to strengthen and is now up 10% year-on-year and back to 2019 levels. In parallel, we continue to actively add computing power to be able to run more and more advanced algorithms. As of the end of June, we reached 371 petaflops. On Slide 9. In Geoscience, demand for our unique elastic full-waveform inversion is very high, driven by North America and growing worldwide, in line with increasing OBN acquisition activity. Our differentiated images deliver a highly impactful precise images of the subsurface. On this example from the Santos Basin in Brazil, you can see the stunning images of the subsurface provided by our acoustic full-waveform imaging model to the left and the 25 Hertz elastic full-waveform imaging model to the right. The carbonate reservoir in darker red, just below the salt in yellow is remarkably clear as is the green shall source rock below the reservoir. This level of structural precision and geologic detail directly from the data-driven seismic imaging significantly reduces the risk of exploration, improves reservoir development, and is critical for optimizing well placement. Looking at our Beyond the Core initiatives, we see strong momentum for our Data Hub offering with new pilot tests in progress for various clients. Many players are positioning within the CCUS market, including our traditional oil and gas clients. CCUS will further accelerate, especially as frameworks and fiscal regimes in the various countries continue to become clear. Geographically, we see stronger demand in North America, North Sea, and Australia. Most of the demand for our services in CCUS are around the screening for potential reservoirs, which includes both processing and geological integrated studies as well as long-term monitoring design. We have been recently awarded CCUS imaging and monitoring design project, the first for CGG, and an area we expect will continue to grow. Our HPC initiatives are progressing well with the new U.K. HPC hub expected to be operational in Q3 2023 and the BioSimulytics contract, which was signed in May, and starting delivery of HPC services in June. Also, in the context of reducing our overall carbon intensity, as Houston HPC hub recently switched to green electricity, making a significant impact on our Scope 2 emissions. Now moving on to Slide 10. Since the successful introduction of our full-waveform inversion algorithms, our market share has significantly increased as we have generated demand for the reprocessing of existing data sets and particularly in the Gulf of Mexico. New OBN data also greatly benefited from our CGG proprietary techniques and these advanced algorithms, as can be seen on this example of Mad Dog field. These more precise images help our clients understand their reservoirs and better position their development wells, saving them millions of dollars. It also help identify potential new reserves that were not previously visible. Now going into Earth Data, Slide 11. Q2 Earth Data prefunding revenue was solid at $42 million, bringing the prefunding rate for the first half of the year to 84%. Earth Data cash CapEx was $64 million this quarter, down 15% year-on-year. After-sales were $20 million this quarter with around an additional $20 million slipping to close in early July instead of June. Clients continue to underinvest in the data required for exploration. While offshore exploration budgets have increased around 15%, 20% year-on-year, spend remains prioritized around drilling. I expect we will continue to see gradually increasing data purchases as clients need to acquire new reserves to meet demand. We see this reflected in our year-to-date order intake, especially as the IOCs proportion of spend continues to grow. Slide 12. The Earth Data team in charge of operation had a very busy second quarter. In Brazil, we completed in partnership with TGS, Foz do Amazonas Phase II. In the North Sea, we completed the NVG East-West 2023 survey and launched 2 OBN surveys also in partnership with TGS. During the quarter, we also performed multiple reprocessing projects, including our stack size survey in the Green Garden area of the Gulf of Mexico and launched our Uruguay reprocessing project covering an area of 25,000 square kilometers, which is well prefunded by clients. Our objective is to continue expanding the strong positions that we have in our core basins, while developing positions in new basins with the most potential. Slide 13. In Earth Data, our Beyond the Core focus is on CCUS and minerals and mining. We kicked off the Arizona multi-physics airborne acquisition project aimed at supporting the minerals and mining industry explore for new areas and mainly for copper production. This project totals 27,000 line kilometers and is attracting high industry interest with that current 6 potential clients, and we have already secured a prefunder. In the Gulf of Mexico, we are capitalizing on the success of our CCUS Phase 1 project and are expanding West in Phase II with the goal of providing multi-disciplinary data to our clients to screen for potential storage reservoirs. Now into -- going into Sensing and Monitoring Slide 14. Our Q2 Sensing and Monitoring segment revenue was very high at $146 million, up 222% year-on-year. It came mainly from marine sales at $84 million, driven by deliveries of OBN products. Sales from Beyond the Core, which now includes Geocomp, that we purchased last year, but also up at $11 million, mainly for structural health monitoring project. The profitability of SMO reached a high 23% adjusted EBITDA margin, thanks to the high level of sales, a favorable sales mix, and the absorption of fixed manufacturing costs. This represents a 42% fall-through compared to a year ago. Slide 15. Q2 was a very busy quarter for our SMO business, both commercially and operationally. SMO saw record quarterly order intake at $238 million, and our manufacturing plants were busy, producing large quantities of vibrators and OBN GPR nodes. Looking at our BTC businesses, SMO made significant progress during the quarter with first commercial successes in the U.S. for the earthworks and wind farm structural health monitoring technologies. And now let me give the floor to Jerome for more financial details.
Jerome Serve: Thank you, Sophie. Good afternoon and good morning, ladies and gentlemen. I will comment on our Q2 '23 financial results. Let me start with the income statement on Slide 17. As mentioned by Sophie, our segment revenue was 20% year-on-year at $289 million. However, the business mix was very different this quarter with Geoscience and Earth Data together, representing only 49% of the group revenue, while it is usually closer two-thirds. This was a result of a strong rebound in our Sensing and Monitoring business this year, while last year, our Earth Data business benefited from an exceptional M&A transfer fee of more than $50 million. As a consequence, this unusual business mix translated into lower segment EBITDA at $104 million or 36% margin. This quarter EBITDA was also impacted by circa $10 million extra costs linked to the agreement we have with Shearwater. Segment operating income was high at $77 million, a 20% margin due to a positive $37 million favorable net book value adjustment following the completion of 3 multi-client surveys this quarter. IFRS 15 adjustment was $5 million, and IFRS operating income was $82 million. Net income for the quarter was $39 million positive. Moving on to the cash flow statement on Slide 18. Q2 '23 segment free cash flow was minus $20 million after a negative $45 million change in working capital, mainly related to our Sensing and Monitoring business. Versus last year, we have a similar change in working capital, but the drivers are different. Last year was mainly due to the inventory buildup in our Sensing and Monitoring business, while this year, this is driven by a very high level of sales in May and June, which is expected to translate into significant positive cash flow in H2. Two other points worth highlighting when comparing our free cash flow versus last year. The exceptional transfer fee, we mentioned earlier on, was actually cash in in Q2 2022. And Q2 last year was also positively impacted by some [MS&A] activities for $18 million. It was the sale and leaseback of our headquarter in Massy, partly offset by the acquisition of Geocomp. Regarding Q2 '23 CapEx, this stand at $78 million. Industrial CapEx was $11 million, including our new [indiscernible] HPC data center. Research and development CapEx was $5 million, pretty stable. And multi-client cash CapEx was $64 million, 60% prefunded for the quarter, 82% prefunded for the semester. Overall, Q2 '23 net cash flow was minus $79 million and H1 '23 cash flow -- net cash flow was minus $78 million. Looking at our full year financial guidance, despite the potential unfavorable euro-dollar and pound-dollar exchange rate, we confirm our guidance for both EBITDA and cash breakeven before change in working capital. Moving on to Slide 19, the group balance sheet and capital structure. The group liquidity amounted to $225 million at end of June, excluding $95 million of RCF, which was still undrawn. Before IFRS 16, group gross debt was $1.189 billion, and net debt was $969 million. Net debt is actually $110 million higher than as of December last year, '22, coming from the negative $80 million net cash flow of the semester, and additional $20 million asset financing as well as a negative impact of $10 million linked to the foreign exchange. After IFRS 16, group gross debt was $1.283 billion, and net debt was $1.63 billion at the end of June '23. Segment leverage ratio of net debt to EBITDA was 2.6x at the end of June. Now, I hand the floor back to Sophie for conclusion and an outlook on the -- I mean, the market performance.
Sophie Zurquiyah-Rousset: Thank you, Jerome. And let me finish with the Slide 21 conclusion. So this quarter confirms the generally positive market trend of the first quarter. Both Geoscience and Sensing and Monitoring activities are back to pre-COVID levels, while Earth Data is strengthening, but remains volatile and selective. Our clients remain focused on increasing their activities while gaining efficiency and optimizing their CapEx spend, OBN technology and CGG's high-end imaging respond well to these drivers. Looking forward, we anticipate continued increasing demand for our high-end offerings with Geoscience remaining solid, Earth Data gradually strengthening with continued volatility quarter-to-quarter, and in SMO, Sensing and Monitoring, we see a growth cycle starting to emerge in select location, mainly led by NOC activity both in land and marine. In this context, I am confident in our ability to deliver our 2023 financial objectives, and I am increasingly positive in the longer-term outlook for CGG. Thank you very much for your interest, and we're now ready to take your questions.
Operator: [Operator Instructions] And your first question comes from the line of Kevin Roger from Kepler.
Kevin Roger: Yes. Sorry for the first question, Sophie. But in a way, I'm struggling to reconcile what we see on the market. We -- for example, the offshore players, Saipem, Subsea, [SMB], et cetera, all of them talking about a very strong cycle in offshore. And on your side, in terms of late sales, we are still at a very low point, $20 million this quarter. Even if we include what you have signed early July, it's still a relatively low level. Probably if I'm not mistaken, one of the lowest level that you have ever achieved even during the COVID in a way you are not at such low level. So how can we reconcile in a way -- the current market environment with all the bullish statements that are made by the offshore player and the late sales that we still see on your side. And as a kind of follow-up. I find interesting in the presentation, the comment that you made on the technology development that you are making that improve the performance in terms of imaging and so are driving away for reprocessing. So as a kind of follow-up, the fact that you improved the technology in such magnitude, does it keeping away your other business for late sales because people will just make reprocessing instead of acquiring new data. So that will be the first global set of questions. And the second question, just to understand, because on the other side of the story, it's clearly getting traction. For Sercel, it's a huge jump that we have this quarter at almost $150 million. When I see marine at $80 million plus, is it related to the nodes, just to be sure? And because you have signed the mega crews for the coming quarters, what should we expect in terms of magnitude in terms of top line for Q3 and Q4? Is it still $150 million around or kind of one-off and we go back to $110 million, $120 million, something like that?
Sophie Zurquiyah-Rousset: Okay. Thank you, Kevin, and thank you for the very, very precise and challenging questions. By the way, I am asking myself exactly the same question as you are, so we're on the same page. And I have some hypotheses and some answers. So first of all, I want to correct the -- for everyone, the level of after-sales. So I can tell you, Q1 2021 was $19 million, Q2 2021 was $20 million. So we've seen before this level of $20 million. It's not great. But again, you have to add the $20 million that really we should have had was all signed and ready to go and got delayed by just a few days. So that's $20 million. So truly, the number you need to look at is $40 million. So is it enough? Probably, I'd like to have a higher number, but now if you compare to the previous quarter or to the year before, if you correct for the transfer fee, it's still an improvement. So we are seeing an improvement. It's not as large as -- so, for example, the offshore rig guys or even what Schlumberger, SLB, was stating. And I suspect it's because within that exploration portfolio, if you want, we don't all see exactly the same market. So I think the clients are starting to -- with the drilling side of the exploration wells, and they are experiencing quite high inflation from those rigs, and that money is going there as the priority. So in a way, the after-sales, which is planning for the longer term and the longer cycle exploration, is still a little bit in the back burner. The encouraging sign that I pointed out to is the IOCs, because the IOCs used to be the big buyers of this after-sales and doing that long-term exploration. They're kind of coming back. They represented less than 20% of our revenue mix during COVID times, and they're ramping up to now becoming 30% where in the traditional, the good times, they were 40%. So there's still room to grow for IOCs to come back. Do I think they will come back? Yes. I think they will come back. But again, you need those exploration CapEx to be adjusted enough to include the inflation from other parts of the supply chain to really give room to these data sales. So that's the first question. The second question on SMO, huge jump, yes. So the $84 million is a mix of streamers. So we are seeing some improvement in streamers. There's replacement streamers that are being bought. And then it's a combination of streamers and OBN. And we do expect to see quite strong quarters. I'm not going to give you the exact numbers, but strong quarters for Q3 and Q4. Follow-up question?
Kevin Roger: Yes. No, it was just to rebound because -- and sorry to be brutal in a way. But even when we talk about IOCs, for example, we are hearing that Shell is more and more worried about their portfolio in terms of potential projects to be functioning in the coming years, et cetera. But -- so it means that even because they are stressed in their portfolio, they are not acquiring data on your side. So it's just that at the end then -- sorry for that, but I'm really stringing what could pick up in a way, a big jump in your late sales because, in a way, you were mentioning the fact that the IOCs are coming back, but 30% of $40 million remains quite low in a way.
Sophie Zurquiyah-Rousset: So yes, the -- so you have to remember, they need -- so they have already things, I mean, all the clients have already things in their portfolio, right? They have different options. They can try to high-grade whatever they have in their portfolio. So high-grading means trying to optimize their -- the breakeven costs, right, the breakeven oil price. So they're doing that. They're looking at potentially buying out others, looking at the case of Eni buying Neptune. So there are different options. And right now, the favorite one is not necessarily to engage in that long-term exploration cycle. But I do believe this is going to have to come back because what they're doing today is not going to be enough to meet the demand. And I think there's a general consensus that demand for all will be much longer than everybody is anticipating. And you do need that sort of longer-cycle exploration to come back. So perhaps maybe another color of why we didn't benefit necessarily as a proportion of the spend this quarter. It depends as well on the footprint and the positions we have. So if you look at the Brazil, we have a huge data library is Brazil -- Brazil is not as hot as it was a couple of years ago. I mean, will it come back? Absolutely, yes, because this is an area that's super productive and has a lot of potential. So there are some cycles to where clients focus their interest. So if you look at exploration and development right now, the big focus is on Guyana and Namibia. Namibia is not a multi-client play, it's mostly proprietary acquisition. So we don't get to play in that space, for example. But then when Brazil picks up again, we'll be there. The Gulf of Mexico has been very active for us. So this is great. So it's not like it's a bit slow, let's put it that way, in Brazil, for example, may be reflected in those numbers. So multi-client is not -- again, I point out volatility because that's what you need to continue expecting, right? It's not going to be like a smooth, straight line quarter-to-quarter on the after-sales side.
Operator: We will now go to our next question. And your next question comes from the line of Baptiste Lebacq from Oddo.
Baptiste Lebacq : Just one question, trying to understand the fact that you keep your guidance regarding free cash flow for the full year, but [indiscernible] not wrong, in H1, you generate positive free cash flow, excluding working cap at $30 million. You are quite, let's say, positive regarding deliveries from SMO in Q3. And generally, Q4 is very strong in late sales. How could you keep this guidance in this context? Is something that I missed regarding free cash flow for the H2?
Sophie Zurquiyah-Rousset: I'll let Jerome comment. But I think part of it is going to be the phasing of sales, right? And so we do see a number of sales being more back-ended than we had planned. And so if you're doing the sales sort of the last month, I mean, you end up with a high level of receivables as well. So that is definitely impacting the working cap. But Jerome, you could comment?
Jerome Serve: No, no, I think you said it. I think, more back-ended sales force on our data business as well as some late deliveries for Sensing and Monitoring business. But guidance confirmed.
Sophie Zurquiyah-Rousset: Well, perhaps your question is the guidance was positive outside of working cap?
Baptiste Lebacq : Yes, exactly because if I'm not wrong, your guidance is ex working cap. In the H1, free cash flow ex working cap is at plus $30 million. And clearly, in Q3 and Q4, you will have increase of deliveries from SMO plus, historically, a very strong Q4 in terms of late sales, but history, let's cross the finger for Q4 this year. So that's my question because if you have some advance, let's say like that, and how could you lost your advance versus [Indiscernible].
Jerome Serve: You also have the phasing of the CapEx. I mean, you have more CapEx in H2 than in H1.
Baptiste Lebacq : Okay.
Sophie Zurquiyah-Rousset: So the question, I mean, do we want to do better? Probably we'll aim at doing better. At the same time, we have unknowns -- yes, we have unknowns in the working cap. Our really internal role would be to be breakeven, including working cap. So -- and there's always unknowns about how we lend on the working cap. But yes, I mean, we always aiming to do better than what we guided.
Baptiste Lebacq : And maybe another question, if I can. It is regarding the prefunding level, which is going down this quarter. How do you -- because it's clearly surprising when you listen to your comments regarding interest from clients and so on. How do you see the evolution of the prefunding? I know it's very tricky to give an indication, but what is your view regarding the prefunding in coming quarter?
Sophie Zurquiyah-Rousset: So I've always said, I want the prefunding. To have a good prefunding level, it has to be north of 70%. That's a good number. And it's not a number you should look at on a quarter-to-quarter basis because it can be variable with -- you make a sale of prefunding, all of a sudden, you recognize a high level of prefunding on a survey that's already started. And if you want, that's kind of a catch-up and that could buy it to your numbers. So really, you need to look at a rolling 1 year, if you want, on a yearly basis. So that's why I was commenting on the year-to-date number, which is 80%, 84%, and we always aim to be north of 70%. So a good survey is not necessarily a survey that has 100% prefunding because what you want, you want to be able to sell it again and again and again. And usually, our best surveys are the ones that are around 70% prefunding and then have potential -- a lot of potential of after-sales. So I wouldn't read too much into the 66% for the quarter, really, that H1 is a bit more representative. And I think I always talk about the 70%, 75%, and I think this year will end up better than that number, probably north of 80%, I would say. And it's a ratio -- don't forget, it's a ratio as well of your prefunding revenue to your CapEx. If you look at that ratio for that quarter, Q2 typically has a higher CapEx because you have the summer season, so you have a bit of a higher CapEx, maybe not, we didn't get that catch-up that I was describing in that quarter. So that makes it facially look lower, but there's nothing to read into it.
Operator: [Operator Instructions] We will now go to our next question, and the question comes from the line of Jean-Luc Romain from CIC Market Solutions.
Jean-Luc Romain : You mentioned a backlog of $510 million at the end of the second quarter, of which, if I'm correct, $235 million is for Geoscience. Does that mean that we have a $275 backlog for SMO? And would that backlog be sold over the second half of this year in SMO? That's my question. And could you tell more about the improvement of -- on streamers. It's been quite a long time you didn't [Indiscernible] any? And how do you see the market for replacement now?
Sophie Zurquiyah-Rousset: Okay. So maybe I'll respond to the question, the streamer replacement cycle, and I'll let Jerome take the backlog question. But streamer replacement cycle, I did mention that it's going to have a different shape than perhaps we anticipated before the COVID. Before the COVID, we thought, okay, the service companies might replace the full streamer set on each vessel, right? So a full streamer set is somewhere around $30 million each, $30 million, $35 million. And I don't think it's going to happen that way. I think it's happening now as a partial replacement of different streamer sets. And we're starting to see some signs of that. So we have our sort of -- we've always had maintenance, if you want, some sections that we'll be selling as a replacement, but we see a little bit more of that. So that's encouraging. And if you add the sale that we had to [indiscernible] in Q1. So I do expect we'll have probably better streamer sales this year. But we're not -- I can't talk yet about streamer replacement cycle. The good thing is that, on the marine side, we have the very, very strong OBN market that we're able to capture, and that's more than compensating, if you want, for the streamer set that -- the streamer cycle that's delayed. But that cycle will be a longer cycle and not as high that we would have hoped before the COVID. Jerome?
Jerome Serve: And your question on the backlog for SMO, we are about -- a bit less than 1/3 of the $510 million that Sophie was referring to at group level.
Jean-Luc Romain : Okay. Can I add one follow-up?
Jerome Serve: Sure.
Jean-Luc Romain : You mentioned no transfer fees this quarter and big transfer fees last year in the second quarter. Does the acquisition that Eni is making of Neptune, and to another extent, the smaller acquisition of Talos in the Gulf of Mexico. Could it generate the transfer fees for you?
Sophie Zurquiyah-Rousset: So we are absolutely watching the M&A in the space. My first evaluation showing there will be some, but it will be -- it won't be a significant number. I would consider this as the sort of recurring ongoing type of transfer fee, not the exceptional that we had last year.
Operator: [Operator Instructions] We will now go to our next question, which is a follow-up from the line of Kevin Roger from Kepler.
Kevin Roger: Yes, a follow-up, if I may. In terms of balance sheet situation and deleveraging, there has always been some speculation around potential disposal and notably Sercel. So any comments here, Sophie?
Sophie Zurquiyah-Rousset: I will have the same answer. It's opportunistically that we would consider. If you remember, when we discussed this when you last asked me the question, it was a very low cycle. It was we were at a low point. And so there was really no point considering it. As SMO improves, it's something and we're looking at potentially other strategic directions. We -- this is something that is one of the options we look at.
Kevin Roger: And what will be the overall options that you will consider?
Sophie Zurquiyah-Rousset: So these options are going to be reviewed by the Board in September.
Operator: We have one further question. And the question comes from Daniel Thomson from BNP Paribas.
Daniel Benjamin: Just one on the SMO market. We obviously had the Saudi mega crew equipment orders placed and taking quite a long time for those to get awarded. But I was just wondering within the Middle East and the land market, are there any other sort of major mega crew surveys in the headlights over the next sort of 6 to 12 months that you think could come to market and that you're working towards?
Sophie Zurquiyah-Rousset: Thank you, Daniel, and good evening. Actually, interestingly enough, Saudi Arabia has announced another mega crew for 2024, but it would be one land mega crew, but twice as large as the mega crews from this year. So it would be like sort of a super mega crew. Now of course, the date announced is 2024. This could be slipping like the others have been slipping by quite substantially. So that's one that's in line of sight. Interestingly, in Saudi Arabia, there is also they've announced a streamer survey in the Red Sea. So that's another one. Now the other opportunities that we're looking at is North Africa. So those could be actually quite large, and also the sort of Asia, India area. So it's not just the Middle East that we're looking at. There's more regions, if you want, where we can sell our equipment.
Operator: There are currently no further questions. I will hand the call back to you.
Sophie Zurquiyah-Rousset: Okay. Well, thank you, and thank you, I really appreciate your question and you attending in a very, very busy last week of July, and I look forward to seeing you and engaging with you responding to all your questions, I guess, after the summer break. So thank you again for taking the time and for your interest.